Operator: Good day, ladies and gentlemen. Welcome to Vista Gold 2013 Second Quarter Financial Results and Third Quarter Project Update Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded. Today is Tuesday, August 6, 2013. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick H. Earnest: Thank you. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp.’s 2013 second quarter financial results and third quarter project update conference call. I am pleased to be joined on this call by Jack Engele, our Senior Vice President and Chief Financial Officer. Also here with us in Denver is Connie Martinez, our Director of Investor Relations. During the first half of the year, we have achieved important milestones by completing three significant activities at Mt. Todd, namely water treatment in the Batman pit, the submission of our environmental permit application and the preliminary feasibility study, all of which I will expand on later in the call. Despite these continued value adding activities, we have been challenged by our share price and the gold price. In response to current market conditions, we have implemented meaningful cost cutting measures, both corporately and at Mt. Todd, aimed at preserving corporate liquidity, while positioning the Mt. Todd project to move forward in a timely and cost effective manner once the markets turn. Jack Engele will expand upon those cost reduction efforts during his review of the financial results. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause the actual results to differ materially from those in our forward-looking statements. I’ll now turn the time over to Jack Engele. Following his discussion of the financial results, I will provide an update on the status of our core projects.
John F. Engele: Thank you, Fred. Good afternoon, everyone. I’ll start with our statement of income and loss for June 30, 2013. We reported a net loss of $21 million or $0.26 per share for the three months ended June 30, 2013. The largest component of this loss was a $14.1 million mark-to-market non-cash loss net of deferred tax on our Midas shares. During the quarter, we expensed a total of $5.9 million, mainly at Mt. Todd, where the major cost drivers included completion of the preliminary feasibility study, which we announced in May, and preparation of an Environmental Impact Statement, which we filed in June. During the quarter, we also incurred corporate, general and administrative expenses of $1.2 million. Activity at Guadalupe de los Reyes was minimal during the quarter as our principal focus continues to be Mt. Todd. Turning to our balance sheet, our cash and cash equivalents as of June 30, totaled $9.3 million. During the quarter, we used $7 million in operations. Over one-third of that amount was used for completing the preliminary feasibility study and preparing the Environmental Impact Statement. These large programs are now complete and we expect the burn rate of Mt. Todd to be reduced significantly during the second half of the year. The June 30, 2013, fair value of our position in Midas Gold was $22.2 million. This is a reduction of $18.5 million during the quarter. This reduction in value is consistent with the steady decline that we have seen in equity values in the junior gold sector. The number of Midas shares that we hold remains unchanged at about 31.8 million. Our working capital as at June 30, totaled $12.9 million. This is a decrease of $18.8 million from last quarter. The largest components of this decrease are the change in fair value of our Midas shares as net of a reduction to the related deferred tax liability and the use of $7 million in cash for our operations. Because our $10 million loan facility is denominated in Canadian dollars, the weaker Canadian dollar resulted in $500,000 lower June 30 debt balance than recorded in U.S. dollars. Looking ahead, at Mt. Todd, as discussed earlier, we have now completed several cash-intensive work programs, water treatment in the Batman Pit, preliminary feasibility study and we’ve filed the EIS. Having these completed, it will result in a significant reduction in the cash burn rate for the rest of the year. Last quarter on this call, I indicated that we had instituted certain cost reduction programs and that we would continue to review all spending, we’ll review to making further reductions as necessary. During the second quarter, we delivered on that promise. We have now eliminated or postponed all discretionary programs at the Mt. Todd site, it includes the exploration drilling. And we have introduced other cost cutting measures, including voluntary reduction to the site management group’s cash compensation. Mt. Todd’s basic burn rate is expected to be approximately $1 million per month for the last six months of 2013. if the markets don’t improve, we would expect 2014, assuming, of course, no major contingencies that is material wet season damage. In addition, we’ve introduced similar measures to reduce our corporate G&A burn rate, most notably, voluntary cash compensation reductions of up to 50% to the executive and management team. The G&A burn rate is expected to be in the range of $300,000 to $400,000 per month for the remainder of 2013 and we continue to look for ways to reduce costs in 2014 if markets don’t improve. Through the remainder of 2013, we will improve relatively modest other costs, mainly debt interest averaging less than $100,000 per month. With these changes, we believe that our current cash balance of $9.3 million will be sufficient for the remainder of 2013. We will need to raise money before the end of this year and on that front, we continue to focus our efforts on non-dilutive means, primarily through the disposition of non-core assets. We continue to actively market the Colomac mill equipment. We are evaluating the potential to sell joint venture or have a company earning to our Guadalupe de los Reyes project in Mexico through exploring the potential sale of other non-core assets as well. That concludes my comments on the financials. I’ll turn this over to Fred now to update you on our projects.
Frederick H. Earnest: Thank you, Jack. For discussing Vista’s financial results for the second quarter of 2013, I’ll be providing an overview of our projects starting with our non-core projects and concluding with the Mt. Todd gold project. but first, I want to address one market related topic. Since our last quarterly update, we’ve been advised that two analysts, Jeff Wright formerly with Hunter Securities, notified as the Global Hunter Securities had made the decision to exit the precious metal space to focus on capital fund raising activities in other sectors. We’re also notified by ROTH Capital Partners that Brian Post was leaving ROTH Capital to pursue other professional opportunities. We continued to enjoy analyst coverage from Adam Graf with Cowen Securities, formerly Dahlman Rose in New York City and Paolo Lostritto at National Bank Financial in Toronto and are always working with other brokerage firms to attract additional coverage. I will start to review the project reviews with the Awak Mas gold project in Indonesia. Our partners, One Asia Resources Ltd. continued to make progress with the feasibility, evaluation, and permitting of the project. We expect that One Asia will be in a position to complete all of their obligations under the JV agreement later this year. As a reminder, perfection of the earning under the JV agreement entitles One Asia to an 80% project interest. At the Los Cardones gold project in Baja California Sur, Mexico, the investor group is making good process. Ongoing discussions with the Mexican government resulted in certain project design changes, which are currently in project and that are anticipated to facilitate the permit approval process. These design changes are to be incorporated into permit applications later this month and additionally, are to be incorporated into an updated feasibility study expected to be completed later this month. We remain optimistic that the investor group will obtain the permits for the Los Cardones project and perfect its earning prior to the February 2014 expiration of the earning agreement. As a reminder, perfection of investors earning an agreement requires a $20 million cash payment to Vista. As previously announced, A.M. King Industries has been retained to sell the mill equipment purchased in 2008 for this project. Several companies have expressed interest in the equipment and A.M. King is working through the marketing, sales process. With lower metal prices, the market for used mining equipment is becoming more active as companies attempt to lower their capital costs. We are hopeful that the sales process will be completed later this year. Moving to the Guadalupe de los Reyes project in Sinaloa, Mexico, last quarter we reported that several companies had signed confidentiality agreements and were advancing their own independent evaluations. As of the present, none of the interested parties expressed an interest that was sufficient to meet our internal criteria for the project. However, we continue to evaluate options to realize value from this non-core asset moving project forward. Finally, the Mt. Todd project, significant progress has been made as previously noted at the Mt. Todd gold project in the Northern Territory of Australia in the last three months. We have completed three very important project development programs. First as reported last quarter, the water treatment program has been successfully completed with results much better than expected. We now have the authorization to discharge clean water during the upcoming wet season and anticipate dilution ratio will be 1 to 20 for the water in the top 25 meters of the pit, which is approximately 45% of the water by volume. Second on May 28, we announced the results of the preliminary feasibility study with proven and probable reserves of 5.9 million ounces and on June 28, we filed the completed preliminary feasibility study report on SEDAR. Third, also on June 28, we filed the Environmental Impact Statement with the Northern Territory EPA. The agency has begun their review of the document, and started the public consultation process, which is scheduled to conclude next week on August 12. We are on track to receive the environmental permit for the Mt. Todd project near the end of the year. Individually, these three programs are significant milestones, but collectively, these achievements demonstrate a much more significant level of progress in the advancement of project. The achievement of these milestones has not come without considerable investment of the Corporation’s resources and the completion of these three cash-intensive programs is now resulting in a significant decrease in our cash burn rate. As Jack has already noted, we have taken additional steps to further decrease our cash burn rate and we’ll continue to monitor our programs and cash expenditures as we go forward. I received many questions regarding our plans to develop Mt. Todd. Current market conditions and the present gold price make it difficult to consider financing the development of the project at this time, regardless of which development scenario might be selected. Additionally, the holding costs of the Mt. Todd project are significant and are the largest part of our annual budget. In an effort to enhance project value and ensure the company’s liquidity, we have initiated a process to strategically evaluate a variety of development strategies for the project and we will keep the market updated as we progress through this strategic review. We have delayed the completion of the feasibility study with the associated decisions about the project scale, until such time as we feel that a fundamental change has occurred in the equity markets, the gold price and our share price. It is important to understand that the preliminary feasibility study is based almost entirely on feasibility study level engineering and requires only the completion of a feasibility level piping, electrical and instrumentation designs, some plant site geotechnical investigations, together with finalizing feasibility study level cost estimates. We believe that this work could be completed in approximately four months’ time at a cost of less than $2.5 million. Looking forward, we will be working with the government at the Northern Territory under the auspices of the Major Project Status that was granted to us in April, to advance discussions with respect to several key project issues, including natural gas supply and pricing, taxation, environmental matters and labor readiness initiatives. We have already initiated these discussions and expect to make significant progress in the quarter now in progress. In conclusion, I would like to thank you for your interest in Vista Gold and its projects. We remain bullish on the price of gold and are optimistic that market conditions will turn more favorable. Our current market capitalization does not recognize the value of the proven and probable reserves at Mt. Todd. We feel that our present share price represents a level of value with considerable opportunity, and we are hopeful that our work to de-risk and enhance the Mt. Todd project will ultimately be recognized in the marketplace. In the meantime, we remain focused on preserving corporate liquidity and preparing the Mt. Todd project for development in a very cash efficient manner. Our team has achieved significant results this quarter and is committed to optimizing the benefit received from ongoing expenditures. In closing, I would like to express my appreciation to the Vista team and our consultants, many of whom have completed their work, had their scope of work significantly reduced or terminated, for their dedication and hard work, these are challenging times and I look forward to being able to deliver better results as we move forward. We will now take the time to respond to any questions that the participants of this call may have.
Operator: Thank you. (Operator Instructions) And our first question comes in from Adrian Day from Adrian Day Asset Management. Please go ahead.
Adrian Day – Adrian Day Asset Management: Yeah, good afternoon. I had a couple of questions, if I may, on Guadalupe; one is how much have you been spending on the project. I know you’re cutting back now, but how much have you been spending over the last year or so? And the second question, I guess, are you able to give us a kind of range of what you might expect for the sale of the mill equipment, just a range?
Frederick H. Earnest: Adrian, good afternoon. Thanks for the questions. First of all, with respect to the Guadalupe de los Reyes project, our cash burn at Guadalupe has been reduced to…
John F. Engele: About $0.5 million on the year.
Frederick H. Earnest: About $0.5 million on the year, and during the first quarter of the year, we were completing the preliminary economic assessment and the new resource assessment. Since the announcement of that result, our expenditure level has been cut drastically. We have nobody on site. I think another cost related to that project that’s been reduced is that our General Manager, Vice President of Mexico has retired and we have not replaced Hector, and we’ve cut back the time that our geologic consultant was working to only that the amount of work that’s required to maintain community relations. So there has been, I think, you see that there has been a very significant reduction in the cost. And going forward, we’re projecting that our annual holding cost will be about $0.5 million a year. With respect to the mill equipment, when we listed the equipment last November, the mill equipment had an asking price of $15.5 million. We’ve had the expressions of interest. The interest has been, one particular offer was entirely in shares in a company that was not very liquid. We rejected that offer. We have written down the value of the mill and we’ve also adjusted the asking price. Presently, the asking price is $10.95 million. What would be the expected realization on actual sale price, Adrian, I am hopeful that we can be very close to that number, but I think it’s important to say that we will not walk away from a credible offer if it’s less than that.
Adrian Day – Adrian Day Asset Management: Right. Okay, good, thank you.
Operator: And there are no more questions at this time, please continue.
Frederick H. Earnest: We have no other questions, perhaps it would be – I could just – I’ll just delay a minute here in case someone else has another question. I alluded to the fact that our Vice President, General Manager, Mexico retired. We have also eliminated the position of Vice President of Project Development within the corporate organization. These are two reductions in staff that we’ve made at the executive level of the organization. Jack alluded to the fact that the management team at Mt. Todd and the executive team here in Denver have voluntarily accepted reductions in cash compensation. I would just speak to that to underline that I think that this is a reflection of the commitment that the management team has to the development of these projects and the recognition that markets are very difficult right now.
Operator: And there don’t seem to be anymore questions coming in. (Operator Instructions)
Frederick H. Earnest: Let me just expand for a moment more on the environmental permitting process in the Northern Territory. As indicated, the environmental impact study was submitted to the Northern Territory EPA for a review on public consultation. The public consultation process will end on August 12, and thereafter, we will receive agency and public comments. The company must then respond to all comments and submit a final EIS, which incorporates our responses to the public and agency comment, the NT EPA will the review the responses and as contained in the final EIS, and if appropriate both in substances and detail recommend approval of the EIS to the administer for the Department of Mines and Energy, who has the responsibility for approval of the EIS. We expect that the time that we’ll be required to respond to comments will be something on the order of 8 to 10 weeks. We anticipate that near the end of October, we’ll be able to lodge the final EIS and that going forward as indicated; we will see approval of the EIS near the end of the year. If there are no further questions, we would like to thank everyone for their interest, their participation and we’ll bring this conference call to a conclusion. Thank you everyone.
Operator: Thank you. Ladies and gentlemen, this does conclude your conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.